Operator: Good morning, everyone. We'll let's start in a few minutes here. And I'm just going to mute everybody because we're going to use the chat feature. We've already had a number of questions come in. We will use chat feature to field any questions.
Erik Anderson: And mostly, I'm going to share my screen because I've got a little bit of a presentation to give to everyone. The presentation is really based upon a lot of the emails and chat messages. And just feedback that we've received from investors, shareholders, the market. So I'd like to just walk everybody through some of the great news of the top and over the past few months. And we're coming on a two-year anniversary of the new management team, and Board taken the reigns here. So I'm just going to give a one more minute here just for some more people to come on board. And then, yes, some of the messages are still coming in. So I'll go back to sharing my screen. Kind of kick things off.  I'm only going to spot-speak for maybe 10 minutes here, guys. Just wanted to give everybody an update as to where we're at. We've announced last week our Q3 financials. We were very happy to let everybody know that we did manage a profitable quarter in Q3. And if you look at some of the historical revenue numbers, we're executing on our plan to the extent that -- and I'll share some of how we kind of calculate our future forecasts, some of the calculus around that. But very happy to report that, both in Las Vegas and in Palm Springs, 2 tourist towns, that on the 11th of February 2020, I took the helm here of the CEO position, and we immediately went into a global pandemic, which is unlike anything that we've seen in our lifetimes. So the fact that we've been able to grow our year-over-year revenues, our quarter-over-quarter revenues, and prove that our model is a profitable one. We've always said that we wanted to get rid of the non-core, non-revenue generating assets.  And that we wanted to show that our model was a fundamentally sound model. So I'm just going to scroll into this. This is a presentation, by the way, that we're going to put up on our website. This is a revised version of what you would have seen since of the AGM. We're constantly tweaking this presentation. We're making this presentation on a almost daily basis out to a number of people in the investment community. But one of the things that came up as an initial question was just stock performance, right. So I went back and when we changed the name to Fiore Cannabis and we changed our ticker symbol right at the beginning of November 2020. If you look at our performance since then it's relatively flat, right?  And everybody saw that, there was a fairly big spike in that January, February run up. I think, that was entirely the market being abuzz with the Democratic party winning the Georgia Senate runoff. And it looked like legalization was just around the corner. And we certainly still believe that there's going to be some wide sweeping federal legislative changes in the U.S. In fact, that was one of the major reasons I joined the Company a couple of years ago. But if you look at our stock performance and it certainly one of the more major questions that we field almost on a daily basis. It's very similar to just some other industries that we track. Here's the ETF -- the HMMJ ETF, again, relatively flat year-over-year.  We're over that same period from the beginning of November until now. Currently, one of the big U.S. MSOS, again, relatively flat. And lately, the last couple of weeks, I've been waking up every single morning, and I'm sure all of you are the same if you're tracking the cannabis space, is that, it's all 52-week lows being hit by pretty much every Company in the business, right? So one of the things that we're really trying to -- that we're really trying to focus on, is the fact that the stock price is going to be the stock price. And we think that there are going to be some catalyst events and I'll talk about that in a little bit here.  But our performance is just like at anybody else's performance. And when you look at Fiore being relatively flat, year-over-year, those strong fundamentals that we've already posted. Again, the reduction of debt, the cleaning of the balance sheet, the posting of revenues. These are the things that I focus on because of -- they're things that I can control, right? So we do think that legalization, it's not full legalization, certainly, decriminalization, certainly the opening up of banking and the opening up of the stock exchanges sold to the border, all the U.S., the large U.S. MSOS, the Curlies, the Trulieves, the Crescos, the Harvest GDIs, they all trade on the Canadian Securities Exchange, just like we do, right? So it is kind of funny that, when you see certain things in the media, the media gravitates to talking about Aurora Cannabis and Canopy, and Kilrea and Sundial. And those are all Canadian operators, right? So the fact that you're hearing some buzz in the U.S. relative to their legislative changes. The analysts and the media come out and they talk about Canadian companies, which I don't think has much bearing on what we're going to see in the U.S.  If truly, even currently, we're able to up-list to the New York Stock Exchange or the Nasdaq and that level of institutional investment was able to be realized in the United States, I think you'd see a fundamental bull run on the stock market. Similar to what we saw in Canada from 2015 till 2019, with a few minor blips along the way. So I think we're in one of those blips and I think that all these stocks are skipping off the bottom of the lake on the rocks, so to speak so. I don't want to call it a bottom, but I think that's what I've been seeing in the industry since the summer, basically. One of the interesting things, again, I like to point back on real numbers. One of the interesting things is that the State of Nevada on a 12-month trailing to their fiscal year end of June 30th, they posted a 46 % increase in their sales. So if you look at it from July 1, 2020 to June 30, 2021, 46 % increase to over a billion dollars in Canada sales in the state and that's throughout a pandemic.  I can tell you that, being they're, sort of in the fall or in Q3 of 2020, Vegas was probably, maybe 30 % on a vacancy -- sorry, on an occupancy level. By the time January of 2021 came around, it was down to about 10 %. It's the the slowest I've ever personally seen Las Vegas. And over in California, in Palm Springs, it was again, it was -- everything was on lockdown. And then slowly throughout the year 2021, things have started to pick up. And we've seen that again, sales at the wholesale level and sales at the retail level than the strong, and these numbers shares from the CCB in Nevada corroborate that the industry there is growing and a few of the anecdotal pieces of evidence that you see from some of the large dispensaries, Planet 13 being 1, because they take your ID every time you go in.  Because they say that the tourism market is only contributing maybe 20 %. So we think that tourism is going to come back strong. It has come back strong in Vegas. It's coming back stronger in the Coachella Valeo in Palm Springs. And these are good indications that we're in 2 very strong markets. Another kind of question that I was asked was, just kind of give us a little snapshot about what's happened. Like I said, I joined in February of 2020, but I had handpicked Kevin Corners store CFO to come on board. And if you just -- and I'm going to make this available offline as well too, but if you just sort of read this slide here from the bottom up, what are some of our accomplishments?  Well, obviously, hiring a new management team and a new board. Just looking at those non-core assets. So almost immediately we got that Washington assets sold. We retired some more depth that way. We went into our apex cultivation and production facility in Las Vegas. We basically rebooted it. We put new LED lights in, we upgraded the water system, we recondition the HVAC, we basically you took an A-Grade and made it an A plus grade purpose-built pharmaceutical grade facility. And so that coincided with us also spending the money to choose an organic living soil growing methodology, that it does take some time for that to mature and come into its own.  And you'll see that our harvests that we report, and those will be more weight over time because the system just keeps getting stronger, you don't throw out the soil at the end of harvest. So we've -- we're one of the few organic producers in the state of Nevada, and that helps us get the higher margins at the wholesale level, selling, predominantly, to adjacent dispensaries around the strip area. Then, of course, we changed the name to Fiore, in that first week of November 2020. And then since then, you kind of get into Q1, where we've continued to retire as much debt as possible. We did bring on a $2 million asset-backed loans.  We've continued to broadcast out corporate updates to our shareholders and investors alike. We did sign a letter of intent to acquire a California -based delivery business. We're still working on that deal, by the way, that was another question that was brought up. But we've really expanded our portfolio. You can see behind me here on the screen that we've got some really nice artwork for our Fiore flower in the Nevada market. We've also got a black and white version of the same jars and bags as well to you, but we're into the pre -roll game. We're into the concentrates gained through our Diamante Labs brand, as well. All of the pictures, I'll show them here to you as we part ways today.  But all of all of these brands that we've taken out to the market are highly recognizable, especially in Las Vegas. And they're going over very well as our retail partners. We were able to sell our surplus cultivation license to a group called Allied Corp. And that was important because we also signed a land lease agreement. They had manufactured 9,000 square feet of cubes by a Company in Henderson, Nevada called Extreme Tubes. And what we agreed to do is that, they are in the process of finishing their permits right now. They are going to begin construction shortly to drop those tubes. And the cubes are finished, they are ready to go. Basically, we just -- for cement concrete pad, we dropped the cubes on top of them, we hook up the water, we hook up the power and then we will -- we've sent a management agreement with Allied, where they're going to pick up all the input costs.  We're going to basically run that facility as though it's our own. And this essentially doubles our square footage in -- at the Apex cultivation and production facility from 10,000 to 19,000 square feet. So we're pretty excited about the fact that through our partner, Allied, we were able to essentially doubled the square footage, we'll be bringing that online in early Q1, 2022, and then we do a revenue share. And that's going to help us grow our sales next year as well. And I will talk about that. As we got through Q3, we got it -- sorry, Q2 into Q3, 2021, w increased from June to June. We increased our revenues 53 % year-over-year. I think we are corresponding reduction in SG&A and expenses was around 60 %. So we're increasing revenue, we're reducing debt, and we're reducing expenses.  We were able to sell our Canadian asset as well, which included retiring north of $4 million in additional debt. And that, basically what we told the market was that, we're going to focus a 100 % on the U.S., in California and in Nevada, which we think are 2 of the great markets. And again, tourism markets were tourism hasn't fully come back yet. So we're expecting that we're going to see some great growth in 2022. As we finished Q3 and heading into Q4, we posted our first profitable quarter. Again, are 101 % over Q3 of 2020. And we're 68 % year-over-year gross. I will talk a little bit about how I think we're going to finish off the year.  But again, we're reducing expenses we had a great turnout at MJBizCon in Las Vegas in October. We had numerous groups come in for tours of our Apex facility. We even had some groups follow us into the retail dispensaries, where we've got some great partnerships. just to see where's Fiore on the shelves, talk to the management team, talk to the buyers, talk to the owners. So that couldn't have gone any better. And we really saw that there was some deal flow as well too, there is a lot of people excited about the Cannabis sector at MJBizCon.  And we really came out of there with some really strong conversations relative to heading into 2022. We did just recently as well sell one of our parcels of land in California. Again, non-revenue-generating, non-core, really no reason to hold on to it. So again, we're shedding debt by the sale of that one parcel of land. And the second parcel is also up for sale as well. And then like I said, those permits are just being finalized to stand up those Allied cubes and really get to expanding our canopy and cultivation in Las Vegas. There's a few questions coming in here, but I just wanted to let everybody know that again, the strategic roadmap has really not changed. You can see again, we think that our stretch target for revenue is certainly north of $15 million. I'll organically show you how we calculate that on the back of a napkin because it's not overly complicated.  But again, coming with the 9,000 square feet of modular grow cubes, that will be our expansion platform in Las Vegas, as well. These cubes we can basically Lego block them, we can build out and we can build high, and we can build modular so that we just kind of add them as we can afford to. Any of that money that we raised there, we think is kind of an instant ROI because we think that, if we expand past the 19,000 square feet, all of that will come with instant ROI because there's still a very high demand for our organic flour in the State of Nevada. We think that by adding e-commerce and really activating our delivery license in California, that we can take out store.  We've already taken it from about $1.2 million store to -- were sort of just hovering around that $1.8 million to $2 million annualized revenue there. But we think by doing some outbound marketing and our new General Manager there is certainly going to get actives in outbound sales in the area as well too. So that's approaching the wellness spas, that's approaching the Airbnb owners, that's approaching the resorts, that's approaching that the music festivals like, Coachella or just those people who go to Joshua Tree, and just letting them know that you can order online and you can arrange for delivery to your resort, Airbnb, wellness spa, wherever you are.  We really think that we can take that revenue north of $4 million just by adding those 2 components. And we really think that if you look at expanding Apex, we can get north of a 100,000 square feet there. So we go from 10,000 to 19,000. Our next sort of build out would probably look at about 25,000 and just scaling ourselves up to that a 100 and whatever thousand square feet it's going to be out there on our 7 acres. Our neighbor just adjacent to us as well to -- has 3 acres and they're interested in selling that land to us as well, too. So might be a nice add on, come the future, as well.  There are some smaller M&A plays, like I said, the delivery business in the Oakland Bay Area. We're just finalizing DD and just some conversations that way. We think that there's going to be some smaller opportunities to roll in and bend in some companies as well too in our 2 markets. So we're always keeping an eye on that. And we've made no secret in terms of what our exit strategy is, is that we really think that the U.S. cannabis space is very much like the board game, Monopoly. All the pieces of the real estate are kind of being established right now. And we think that having 2 excellent tourist towns coming out of a pandemic, profitable, clean balance sheet, we think that the markets of Las Vegas and Palm Springs are excellent markets that we think like a large USO -- MSO would be looking to acquire.  And that's -- that is our exit strategy and we've articulated that right from the beginning. So just want to say thanks to our team, Kevin Corners, especially. He's been working all hours a day, his team,?Evatroy,? JLO, everybody at the cultivation site in Las Vegas and everybody at the retail store in Palm Springs, everybody who's getting out of the park, working the long hours working hard. And I'm going to click into a few questions here, but I just wanted everybody to see that this presentation will be going up on our website for download.  We're just going to update some of the industry stats here. But give you guys a sense for again, here is some of our brands are, here's some of our products, here's what some of our packaging looks like, which is fantastic relative to say the Canadian market where it's very boring and plain Jane. And just sort of a snapshot as to what you see here. We're continuing to build around our team. And I'm going to field some questions, but just before I do that, I'm going to share one more slide with you, guys. And I'm just going to provide a caveat here that this is not a forecast, this is not anything much more than showing you what we think that we can do. If you look at our revenues, 2020, we finished the year at about $1.6 million.  We think that just with the way the way Q4 is going here, we're going to probably double our revenues, we're better than double our revenue years to end 2021. Not providing any guidance, just giving you a snapshot that we were at about $2.7 million in Q3. And Q is off to the races. We're doing well in Q4. Everything you have to remember is relative to our harvest schedule. So we can -- we're trying to forward, sell crops, and where we're still being very successful with that, but again, what we look at for 2022 is we think that we can double revenues again, if not better. And really these lines here just sort of give you a sense of this is how Kevin and I model our future growth. Is that we've got 6 rooms currently in Fiore.  Roughly, we're taking in about 70 pounds of A grade, D grade and trim. We can do about 5.3 harvest a year, but I'll just take that down for the ease of master to do 5 harvest per room, per year. And if we do 2100 pounds, our average is about 2700 right now. That's $5 million in Fiore sales in 2022. And we think that we're completely twerked up to do that now because the organic platform has really been paying dividends, right? As Allied comes on board, you'll see that I've just very lately estimated what we can do on our rev share with them. Our extraction lab. We're just starting to get some metrics on what those sales are looking like. We're very competitive in market with a very high-end concentrate product.  And then we think that next year we could easily grow our dispensary to about 2.2, and that's before that e-commerce and that delivery business kicks off. And this isn't including any M&A, by the way. This was just the way that Kevin and I model things. So if we finished around $3.3 million for 2021, we think that, we're in a good position to double, possibly even triple our revenues or greater in 2022. We're going to need some great factors. We're going to need that tourism to come back. We're going to need that high demand for organic, high-end, high-priced flower, we gonna need that to continue to see that. But even if I chop down the price per pound to 2200, which we never sell.  We might sell some B graters in trim for that, but you can still see the 4.6 million just in flower sales in 2022, we think that we're in a good position to continue to grow quarter-over-quarter, and certainly half-over-half and year-over-year. So we're feeling really good about that. I'm going to go on and stop sharing my screen here so I can see that there's been a few questions come in. And I'm just going to try to pick these off one-by-one. What are you doing to ensure the Company's success or performance if this U.S. federal legalization situation takes time to resolve? I've always said that, legalization in the U.S. or decriminalization, opening up a banking, that to me, is certainly a huge catalyst.  But in advance of that, we're certainly building out a fundamentally sound business. So we're just going to continue doing what we're doing. Like I said, I would like to think that we've cleaned up our shareholders structure, we've cleaned up our debt, we've cleaned up our Balance Sheet and we're proving that we've got steady income streams going forward and we'd like them to be positive. Next question was, what can we expect in terms of upcoming catalyst in the next 3 to 6 months? Well, the reason I showed you the stock charts, for ourselves and a few others, and just go again and look at everybody being at a 52-week low in Canada and the U.S., I think that we're at the bottom.  I don't want to call it bottom because that's just not my style, but I really think that the catalyst event, we saw it in January and February last year where the democrats -- they do control the Senate, they do have the ability to approve the Safe Banking Act, for instance, to improve the MORE Act, to get federal decriminalization underway. So will it happen? I'm not looking into my crystal ball that far, but if it happens, it's just going to be an absolute catalystic event. I think that you'll see the cannabis space publicly-traded companies just go through the roof, and we already saw this happen in Canada and that's really where we come from at a management level. Another question. With Diamante Lab back operating, does that bring an entirely new revenue stream for Fiore? And the answer is yes.  We have started to sell our concentrates. We haven't gone so far as to predicting how much we're going to generate revenue from the lab, but every day we're operational in the lab. We're using our own biomass, so the trim that comes off of our organic flower and that goes into one packaged product from us. And then we're also sourcing third-party biomass out there as well too to turn it into a bulk and basically sell it on the market as a bulk product because a lot of people who need the bulk concentrate to turn into just deliver some kind of an edible, as well too. So we've got a couple of different revenue streams there in the lab. And we will continue to update everybody as to what's coming down the pipe that way. Just again, looking at a few more questions.  So I'd like to kind of end everything off on questions. And our our communications expert, Stephen Lewis has just sort of guiding me here as well too. So Steven, if you see any further questions, just cop them in here, at the top of the -- okay. Great. Another question, who are the larger investors and shareholders? And what's the insider ownership look like? So if you look at our Board of Directors, which includes our Chairman, Marcel LeBlanc and Director, Dylan Rexing Rexing, and myself, 3-person Board. We own a substantial amount of shares. Probably, if I was just to estimate, it's probably in 45 million to 55 million range. Again, we have 160 million shares issued an outstanding.  And then if you start to look at our management team and just some known friendly investors, especially some of the investors -- well, all of the investors that I brought on in my in my 7 quarters at the helm as CEO. Friendly investors, I think a lot of the reason for our stock being flat year-over-year as well, too, is that we washed out a lot of paper, right? So if there was some known selling, we've done some crosses. I think we crossed somewhere around 25 million shares from some known sellers into friendly hands over the last 12 months. We're continuing to do that. It hasn't -- it's not easy, because that type of buying would've bought our share price up, of course. But I think I feel good that a lot of our management team and our investors that have come along in my time and Kevin's time, they're friendly investors and and I don't know of a a single person who's been on the sell side.  So I'd like to consider that we are tightly held, but again, we still do have a public float out there that can ebb and flow as the market ebbs and flows. Just looking at a few other questions here, guys. Cash-flow positive is another question. What are your expectations in terms of revenue growth? I have already shown you that. Cash-flow positive is an interesting term because again, you have unpredictable costs. When you're doing M&A, for instance, when we were selling off non-core assets, we're having to spend legal fees to do that and we weren't booking any of the proceeds, right? So that's another one that I would say it was an unpredictable expense, in my tenure here.  But as we get closer and closer to the magic, cash-flow positive, there is very few companies in the space that are cash - flow positive. There's some taxation issues in the states with 280E and just the ability not to really be able to recognize some of the traditional write-offs in businesses. So we -- the taxation, which is another federal thing, is stacked against us. But I am happy to report, I think our Q1 we had posted a positive adjusted EBITDA, and then the positive net profit in Q3. So we're really fundamentals guys.  I'm an old fashion ed guy, in terms of cash flow and cash management. It's not to say that we're not going to raise some more money, and this is another question here. Do we plan on doing other private placements or raising money? I still think that I would like to get off to the races after we get the 9,000 square feet of the Allied cubes stood up. I'd like to get off to a but another 20,000 to 30,000 square feet of those same cubes and just continue to be bringing them in as they're manufactured about 30 minutes down the i15 from us in Henderson, Nevada. So we are going to have to raise some money to do that.  If everybody remembers that we unbundled that ACC Enterprises merger that was done prior to my arrival, and we did bring back north of 18 million shares. So if we did go out and do an equity raise, it would be non-diluted, in my opinion, because again, we've taken back those vast number of shares. The other thing too is that, the equity markets are kind of -- they're hibernating. It's a bare market in this industry. So the availability of going out and doing a prospectus raise, for instance, I think many of you saw that we did file a Notice of Intent to qualify for short form prospectus, and we did.  So we've got that shelf prospectus waiting there to do an equity raise, but I really think that there might be some debt instruments out there that are to our advantage as well too. Again, we own the land and buildings and equipment at APEX. So in Canada, where it's legalized nationwide, I'd just go and slap a commercial term mortgage on there at 3 % and basically use the proceeds there for expansion. And that's probably where we are heading in the short-term, is using some debt instruments out there to raise some money and basically get on with the expansion. As we get north of 10,000 into 19,000, and let's say we added at another 30,000 square feet. So we're at like 50,000 square feet of cultivation.  That's when we're truly able to just take our model and it's all going to -- we're going to continue to be the leader in organic flower in the Nevada market, specifically in the Las Vegas strip area. But we're also having conversations too with some of the privately-owned, single-store owners. We'd love to buy a store in Las Vegas. And we're actively searching for a sponsor or investment partner to do that. When you look at the margins, like at our retail store in Palm Springs, to buy an ounce of really high-end flower in the California market, you're looking at about $120 to $100 -- and maybe a $150, right? In the Nevada market specifically on or near the strip, you're looking at an ounce of our A grade organically grown cannabis. It can be $420 on certain days.  So the margins at the retail level are fantastic and we've got numbers of conversations under way. Just to see what the appetite would be for one of these private owner -- operators to maybe vent into our Company, as well, too. Just going through a few more questions here, guys. Bear with me as I scroll through. I think I've answered most of them. Again, more questions about the acquisition of the delivery business in the San Francisco, Oakland Bay area. We're getting to the final stages of just reviewing. So that's continuing to be underway. And then just again, back to the Allied cubes, so those are continuing to come online.  We think it's a good deal for us in the sense that they are going to pick up all the construction costs. They're going to pick up all of the input costs. So we're pretty happy in the sense that it's not going to -- we're not having to come out of pocket to expand our operation by a factor of double, and then we get to revenue split with the group there. And again, they're going to pick up all those input costs. And it's going to allow us to hire more people, and we're really shooting to hire the best in the Las Vegas and the Nevada market for growers and extraction, so we really see that as a good step forward.  It's also introduced us to the people over an Xtreme Cubes and we think that that's where we're going to focus our efforts on our own expansion. There was thought of maybe doing hybrid greenhouses, which are a popular thing in the desert. We looked into it and we don't think that there's going to be an ability to grow high grade organic cannabis there. If we were very interested in just totaling all of our biomass or producing it into a bulk concentrate distillate, and going into other edibles and 2.0 products.  We would have probably looked at a hybrid greenhouse because it's going to generate a lot of biomass, but it's not going to be the highest quality. So we've chosen, and we'd like to continue to be purpose-built. And the cubes are great because they're just very small modular pieces of grow rooms and flower rooms that we already are very familiar with. I seem to think that, that's about it for everybody. And again, I just wanted to -- everybody to hear it from me. We posted a great Q3. Q4 has been a fairly strong quarter, even though we're in that shoulder season for tourism right now. But every time I've been down to the states in both Palm Springs and in Vegas, I've pretty much been there every month, over the last few months.  I can tell you that everything is continuing to come back to a sense of normal. A quick question came in here, just about tourism levels. I would tell you that Las Vegas, during MJBizCon, and there was a couple of different things going on, but I've never seen Las Vegas that busy. You couldn't even get a taxi cab to go from resort to resort. We did a lot of walking. So yeah, that's essentially -- my take is that tourism is coming back stronger, but what we need to have is a little bit more direct marketing for the Cannabis space to direct those tourists a little bit off strip. It's unfortunate you can't do delivery to the resorts.  And again, that the local held the market for the period of the pandemic. we think that it's just going to increase as tourism comes back and that the industry continues to market itself in a positive way. Give us an update on the lawsuit raised by joined -- Chase Business Developed. So that was, again, prior to my arrival, was relative to the Solistor BC project that was essentially abandoned. And they -- that group had an unsecured investment into it and they thought that they deserved having a repayment of their money. We've talked to them about what would be fair.  That property obviously was sold to the group that bought it, that we announced in late Q2 and into Q3. We basically went and stood our ground in the court against them and it essentially got thrown out and now they've got to pay all of our legal costs. I don't spend a lot of time thinking about that one. That was just another example of a prior development idea that didn't go very well. And then just another question here about the Diamante Labs. The wholesale number for a gram of concentrate, we've got out at $22 right now. And it seems to be selling quite well, so we're going to continue to monitor that situation. And, of course, I'd like to always maximize revenue and margins for our lab.  But with the lab coming on board, just recently, we still need a couple of quarters to see exactly how our bulk sales versus our packaged sales are going to show us what those revenue numbers are like. Because Kevin and I like to base of all of our future projections on actual numbers, not just picking numbers out of the sky. Just scrolling through here. And I've got a few on email too. You guys, if you don't mind, I'll just have a quick peek here. Yeah so give us a day or so to just take that presentation that I shared with you on the screen here, that will be uploaded to our website under the Investors section.  All of our news releases, you can kind of follow everything there. But, essentially, the message for myself is that, this is my 7th quarter in the chair as CEO. Everything that we said that we were going to do, after that first 90 days, we've executed on. So we've got rid of the non-core assets that, frankly, helped us retire a good amount of debt. We're often generating revenue. I think that you'll see that that revenue really has the ability to increase on a quarter-over-quarter, half-over-half, and year-over-year basis.  We're very optimistic for what the market's going to bring to us in both Palm Springs and in Las Vegas in 2022, and there's going to be additional partnerships that we're exploring out there. Like I said, I'd love to get into the retail game in Las Vegas and be vertically integrated there. So continue if you like. We do have the email, which is the Investor Relations email, and it is: ir@fiorecannabis.com. That's where a lot of these questions came in today. I'd like to thank everybody. I wanted to keep this short. But if you can spread the good word that we think the market has just been kind of artificially depressed just for the lack of federal legislative changes in the U.S.  What we'd like to be perceived as is a fundamentally strong business in spite of what's going to happen at the federal level in the U.S. We do see that as being a catalyst and a huge catalyst. So that -- if something was announced between now and, say, the end of Q1, I think that you'd really see the shares go up on a bull-run just like we saw in Q1 of last year.  But the nice thing, and I feel good about, is that we're delivering on our what we said we were going to do. And do you have any further questions, just feel free to reach out on that IR@fiorecannabis.com. I'll leave it there. Thanks, everybody, for dialing in. We did have a very nice turnout today here. And look forward to continuing to bring you guys good news. Take care, everyone. Have a great week.
End of Q&A: